Adam Kiciński: Ladies and gentlemen, welcome to the results conference of CD Projekt Group. In a moment we are going to discuss 2018 financial results. We are going to talk about the most important eventually. My name is Adam Kiciński and together with me traditionally Piotr Nielubowicz. Let’s start with some of the most important events. So but, first of all, Cyberpunk, a game that we being developing for quite some time now. The biggest project in CD Projekt’s history, a huge milestone in our development a game presented to general public last year for the first time at E3 fair in LA in June, shortly before the first, we published a trailer than the game was shown in Cologne gamescom in August. And after the first we published a whole trailer on YouTube. The reception of Cyberpunk has been really good. It did meet our expectations. We are very much excited by how players responded to the game. And at E3 fair the game was awarded with more than 100 awards. A few figures about what we have achieved on both fairs. We showed the game behind closed door at hourly presentations to 3,000 people from the industry influencers of the media. The total reach YouTube and streamers who saw it is 250 million. This is how many subscribers they have and followers they have. Both videos that we published at the occasion of the fair first at 50 million views, we're talking about all channels on all continents. Digging a bit deeper, we compared Cyberpunk and the Witcher 3. You see here we've already shown this before it’s a comparison of viewership on our YouTube channel over the first three weeks of the six most viewed video content the Witcher 3 and three videos of cyberpunk. The beginning of the campaign has been very promising most of the campaigns are still ahead of us. Last year, we also intensified our work on GWENT. It underwent the last phase of changes Homecoming, as we call it and as a result of the changes we decided to launch the game in Q4 last year. Thus we ended a beta test phase. The game is now in the final shape, which is not to say we’re not going to change it, it’s a living product, but now we are focusing on making sure that we add new things instead of changing what’s there. So we moved to game as a service mode, I’ll talk about it more in the next part of the presentation. Apart from GWENT, we launched Thronebreaker and it’s a game that was supposed to be external grand but it involved towards a standalone project. It was launched also in Q4 last year and we launched on four platforms to PCs and both consoles and the most important objective has been met. Yet another CD Projekt game of very high quality. You need to remember that in the case of smaller games, because Thronebreaker is not as big as any Witcher. So achieving meta score 85 by 100 is a great achievements, which makes us very proud and satisfied. This is yet another product included in our catalog 3 Witcher plus Thronebreaker in digital distribution. The Witcher 1 has been selling really well most of the sales is generated by the Witcher 3, of course, but each title added to the catalog of games that we sell quarter-on-quarter has been supporting our results positively. Now since we are talking about the results over to Piotr.
Piotr Nielubowicz: Today, we published a manual report of CD Projekt Group and I’d like to start discussing it with profit and loss account. Revenues from sales of product and services the Group generated more than PLN236 million sales and the CD Projekt that was responsible for vast amount of this figure the Witcher 3 was responsible for it, GWENT, as well as Thronebreaker mentioned Adam. Now red bars Q1 very important, the share of Q4 in the whole year was better than last year, percentage distribution is represented by a yellow line. So as we started selling full version of GWENT, as well as Thronebreaker, we started calculating expenses, which are presented here as cost of product and services sold. Total is PLN12.7 million. These products will be settled in two ways. For GWENT we will be including it in costs over 37 months in linear way. As regards Thronebreaker we are planning to capture these expenses for three years from the launch proportionately to the expected future sales. And the estimates of future sales have been made based on our historical titles. Already in 2018, we included in costs some 40% of expenses, development expenses for Thronebreaker. The second part of revenues, revenues from sales of goods and materials, in total it was PLN126 million, a vast part of it was generated by GOG due to sales of our own products, as well as product of third-party suppliers and GOG cum service. Now products coming from external suppliers the distribution of the sales is presented on the slide we presented the slide excluding sales of our own products, which have their launches, which distort the standard distribution is presented in dollars where we have the most transactions to clean it from exchange rate differences. So as you can see subject to seasonality GOG has been successively growing year-on-year and selling more and more. Coming back to profit and loss account, gross profit from sales in 2018 exceeded PLN0.25 million. At the same time, we were incurring selling costs and operating costs, selling costs were lower than last year PLN107 million. The biggest share includes here costs related to promotion of other products, leading product involved GWENT, but well we are not yet showing revenues from sales of Cyberpunk, but we are including expenses of promotion, participation in fairs in LA or Cologne in Germany last year. Of course, selling costs include also expenses on the promotion of Thronebreaker. Now, general and administrative costs, slightly increased in 2018 year-on-year and that’s the result of increased scale of activity, increased headcount and the fact that we've been doing more and more. Financial revenues, we've generated a better results year-on-year, mainly due to the fact that last year we had negative exchange rate differences, which haven't been strong this year. Now in context the result of the Group was charged by PLN40 million and that’s a value which is lower than in the previous years. Thanks to the possibility of using research and development discount, and this positive effect is visible in the calculation of the common tax, as well as deferred tax. So, all in all, net profit of the Group in 2018 is more than PLN109 million, which means that net profitability of our sales exceeded 30% slightly lower year-on-year, but looking at all revenues from sales of own products and goods from external suppliers after deducting all expenses and taxes one-third of revenues from sales is our profit after tax. Now balance sheet, fixed asset the biggest item involves expenditures on development projects. They grew by PLN100 million over a year and individual operations groups look as follows for last year. 2018 was started with PLN133 million of R&D expenses. During that year we spent PLN112 million on work realized during that year. The value of completed projects related Thronebreaker more than PLN76 million and this was rolled over from R&D expenses in progress to expenditures on finished projects. And of that amount PLN12.5 million was discounted. So all in all the balance was PLN200 – was PLN178 million expenses on unfinished projects and PLN65 million were completed projects. Moving on to the balance sheet, a new item that appeared in our asset is real estate. Last year at the end and we brought a plot of land neighboring our current seat alongside an office building extending that. The building gives the possibility of developing some 3,000 new square meters of office space where we will be able to develop our current activity. 3,000 square meters, a slightly less than current half of the current seating also of our company. So, probably, we will be able to provide 250 new jobs for CD Projekt Group and GOG. Now as regards other fixed assets, this value comprises two biggest groups. First of all, the value of the company which accounts for half of this amount revealed historically when the CD Projekt was published on the stock exchange. But it also grew in 2018 as a consequence of procurement of the Warcraft studio from NT [ph]. And the studio became the start of our presence in Warcraft where we are executing development work. Another big part of fixed assets – well, fixed assets and other non-material assets which have been intangible assets, which have been on the increase. Trade receivables, the value at the end of 2018 was slightly lower than last year, mainly as a result of change proportion of revenues at the end of the quarter. Longer cycle of receivables rotation at CD Projekt Red less sales of CD Projekt Red and short rotation cycle and GOG.com, which has a shorter cycle of receivables increased, so total value of trade receivables at the end of the year is lower. Now as regards the next item GOG.com is responsible mainly for this value and represents purchase minimum guarantee is, the right to distribution of games in the service it increased by PLN7 million and this amount shows you among others the impact to agreement with Blizzard based on which we issued, call it, Diablo Part 1 and soon we will have the pleasure of offering the first and second part of Warcraft. And now the largest item on the balance sheet cash and bank deposits that we went up in 2018 by slightly below PLN11 million, which I'm going to discuss in cash flow more extensively. As far as on equity, we exceeded our symbolical value of PLN1 billion, mainly because of retained profits from a given period when talking about trade liabilities. This instead contrast to trade receivables, because of growing impact of GOG and GOG liabilities related to royalties generated on sales from Q4 that are characterized by a longer cycle than other liabilities. Just to end up translating into overall trade liabilities for the Group when discussing other liabilities, so we can see an increase by PLN33 million, some two-thirds of that total are advanced payments received by CD Projekt direct from the contract signed last year for royalties on our future licensing agreements. Other provisions include a series of provisions made for salaries dependent on the results. These provisions are proportional to the results achieved, meaning the total in 2018 is lower than the one presented at the end of 2017. And now the total equity and liabilities over 2018 went up to for the first time over exceeding PLN1 billion just as is the case for capital. Now coming to cash flows for 2018, we opened the year with cash and deposits balanced at slightly below PLN650 million and the cash outlook out of that we find R&D expenditures on the production of games such as GWENT, Cyberpunk and Thronebreaker at some PLN98 million. We also invested in non-material assets at some PLN23 million and then the operating flows generated was positive at level of PLN132 million, meaning that with record high production of new titles and investments in company development, as well as implementation of various projects. In that regard we have not yet bid into the reserves so far. To the contrary we increased the total of cash and deposits by over PLN11 million. Now taking advantage of this occasion let me also summarize the first four years since the Witcher release and the continued sales generated for Witcher 3, which continues to remain on a high level. Looking at volumes at point of release over 70% of sales was of the boxed versions physical distribution was some 30% attributed to digital distribution, but the digital distribution segment has been growing over the years since last year the 80% of items Witcher 3 copies sold last year were sold in digital distribution. When talking about the split across platforms at point of release PCs were responsible for around 30%, but in 2018 that figure was already around 50%. This is it from me. Adam if you could now take the floor again.
Adam Kiciński: Thank you, Piotr. Now few words about our plans for the remaining part of this year. First of all, just like I said already, GWENT transformed and the game as a service mode, we are treating the game as a service rendered. So far until the end of last year most of the GWENT team were stealing with their development of GWENT and its subsequent versions. But starting at the beginning of this year or the end of last year the whole 100 strong team is educated solely to developing GWENT as a service. Meaning we are and we will continue to release new updates and functionalities each month. Starting early this year we’ve already had eight of these updates with varied scopes meaning there has been one almost each weekend, several times a year we also going to release major add-ons the first one is going to be released tomorrow and is called Crimson Curse. [Advertisement] There is one more thing for GWENT. Yes, this it. I am proud announce mobile GWENT release the first one coming things year for iPhones, but we are also planning every release for Android phones to follow. We're really excited about the GWENT getting to handheld devices, as obviously it’s a brilliant game to play in front of a big screen, but that is a session you have to plan for. So far the players had not been able to play GWENT whenever they have a moment. Late this year they are going to start receiving this opportunity for more and more devices. And the last thing we have prepared for today is our invitation to E3. Last year E3 has been the most important one so far throughout the host of the project history. But this year's one is going to be the most important one ever for us too. We have really prepared strong show. So, if you are able to come to LA in June this year, please feel invited to visit our booth. If you are not able to, you can follow our online channels. Thank you so much and feel free to ask questions.
A - Adam Kiciński: We have microphones available. So, should any of you be willing to ask a question?
Unidentified Analyst: Good morning. What is the schedule of construction of your new building, can you address it please?
Adam Kiciński: Well, we'd like to move very fast. We're not sure if we're able to do that though. This transaction was finalized on the 31st of December last year. Some of the space has already been released to us. We are waiting for the release of the remaining part and we're working on a concept now. This should take us a few months. Later on we will be applying for all the necessary permits and authorizations, and we will be initiating the actual works. I'm not sure if it should happen very quickly, but we would like to have it as soon as possible to start producing there. We have the first employees working there already in the spaces that we received, because there is an actual building there and it's functional, but we want to revitalize its like the other buildings we're working at.
Unidentified Analyst: Does this mean you're going to have 250 employees more than right now?
Adam Kiciński: Well, that's the target and the total volume of the building and this is not the end of our capacity, this is an additional pool. The office complex where we're renting 6,500 square meters has further capacity available too. But with this real property of our own, directly attached to the current office complex, there is a direct connection there, it gives us several 1,000 square meters on top of what we're renting already.
Unidentified Analyst: So this growth is it considered with Cyberpunk in mind or the next production.
Adam Kiciński: Well, mainly next productions because the CP team is not going to grow that much anymore. But as a company we are going to grow indeed. In our industry, creative capacities are in direct proportion to the team's sizes, because it's people doing and creating what we're selling. We don't plan to stop at a certain level.
Unidentified Analyst: And aren't you finding hiring new recruits difficult?
Adam Kiciński: Well, it's tough to say. It's always a struggle to seek new talent. But we've been doing that for as long as we've been around and we're pretty good at it. We have an experienced recruitment team. We have well developed HR department and we're doing it. We continue to grow at a stable rate of more than 100 people a year and we don't want to slow down.
Unidentified Analyst: And what should we expect to see in the Trade First, huge events like last year?
Adam Kiciński: Well, like I said, we want this E3 to be even stronger than the last year’s one.
Unidentified Analyst: [Inaudible] Let me ask a different question now. Are your expectations as the profit margin, sales margins on CP changed because of the last earthquake in the region of digital sales of games? Are they or are they the same as last year?
Piotr Nielubowicz: Well, changes to digital distribution help creators get a few percentage points more out of the retail price paid by the customers. But that's just a few percentage points. What influences our margins much more is the expected volume of sales. That's the thing we are fighting for. The more participation we get and the retail price, the easier we will find to generate revenues but actually sales volume is fundamental.
Unidentified Analyst: Your strategy also stated that you want to move beyond gaming company with your IT that you wanted to move not only in the gaming culture, but stretch beyond. Have you implemented any activities in that regard?
Adam Kiciński: Yes. So we have these projects under way, but we are proceeding with a high degree of reflection rather than caution. We don't want to be too scattered around. Our core business is games. We're very much focused on that, but we are developing a portfolio of merchandising products based on Witcher and the same is going to be true for CP. At the end of last year we registered a company to operate our brand. So, it's relatively low level of business as compared to our core business. But its aim is to put some order to products branded with Witcher or Cyberpunk licenses. But it's merely a step into the future.
Unidentified Analyst: A next question. Recently, your CEO confirmed you want to release yet another game until the year 2020. When was this project launched, is it underway?
Adam Kiciński: Yes. The project is under way and we are planning to do just that. Our strategy has been announced three years ago and we continue to reevaluate the situation, aiming at products that are going to meet the gamers’ expectations or go beyond gamers’ expectations and generate – selling business for us. So the efforts are underway. These plans are still valid, but please do not to draw conclusions as to what kind of game this is going to be just yet.
Unidentified Analyst: I wanted to comment on this last question. Are we discussing a totally new games or are you considering reviving an old one, porting an old one?
Adam Kiciński: No. Definitely it's not going to be a project to port and all the game we're discussing new content, it's still early though to go into details just now. In terms of communications, we are very conscious in focusing on Cyberpunk only. This is obvious, we wanted the whole world to listen just about what Cyberpunk is or what it is going to be, because then it translates into heightened sales. Any sort of scattered communications is counterproductive from the business point of view. We are doing a lot of things we don't communicate and I'm not saying it is another Cyberpunk product is -- or is not being developed, it's just that there are a few things we're not discussing just yet because the time is not right.
Unidentified Analyst: Another question relates to the split of revenue from GWENT and Thronebreaker, what was the split in Q4?
Piotr Nielubowicz: When generated higher revenues for the group then Thronebreaker.
Unidentified Analyst: And is that a significant difference in these levels.
Piotr Nielubowicz: Yes. The GWENT is a large production than Thronebreaker. But we not publicize such details on that and we usually do not publicize such detailed data at CD Projekt. And if we could get back to the slide with because developmental outlays, PLN26.5 million, that's GWENT plus Thronebreaker, PLN12 million, that's already depreciated level. So PLN178 million in fact of expenses on new productions, new projects, mainly Cyberpunk. That's the biggest chunk of this amount. Thank you.
Unidentified Analyst: [Inaudible] I wanted to ask about Cyberpunk, 400 people are working on it. How many are working on the next production from the strategy one order of magnitude less. Do you agree with the assumption that three are good moment to announce the launch of a game?
Adam Kiciński: Yes. We agree with this assumption. E3 first in the industry of developers of big games are the best moments for big announcements of the big launches during the year, it doesn’t change.
Unidentified Analyst: Will anyone accompany you some artist, pop artist at E3.
Adam Kiciński: We prepared some surprises for E3, but no, it's not going to be for any pop artist.
Unidentified Analyst: And now down to earth topic, you have a dispute with Mr. Sapkowski and what is the stage of this dispute, will it end with the settlement?
Adam Kiciński: We can’t comment on that. Once we’ve arrived at a point where we are ready to communicate this we will do so. But for obvious reasons until the topic is ongoing and unclosed, we can't comment on it.
Unidentified Analyst: Last question, cash level has been increasing in spite of production expenses. What do you think about sharing accumulating -- accumulated profit -- distributing accumulated profit?
Piotr Nielubowicz: Well, we are – we can’t share, the dividend paid out two years ago wasn’t big. But generally, we have nothing against dividends, but we don't have our dividend focused policy. We are convinced that this is not a good point in time to think about dividends, because we had of a lot of expenses and intensive work. So dividend should be like an award after a big success and not ahead of success. But that's my view and simply it’s our dividend policy that we don’t have. I have nothing here, Cyberpunk launch is the most thing – most important thing for us right now.
Kacper Koproń: Kacper Koproń, two questions one financial the other one more strategic. The first one expenses on R&D, they slowed down in August PLN18 million vis-à-vis Q1 and Q3, why, and is it the reference level for the next year? And question two probably you’re following [inaudible] of electronic success and the strategic question is, whether there are strategic elements in the game that could be used in cyberpunk and I'm not talking about real, but about location on and a figures, the system of figures that was presented during cyberpunk trailer?
Piotr Nielubowicz: As regards R&D expenditures and the distribution last year Q2 and Q3 were of higher value because of preparations for first, E3 and a gamescom in August so that’s why it was more intense. Q4 you could probably say it was more calm in those terms, whether it’s a good level for the future in a way, yes, but this value is never constant. First of all, we employ more and more people. So the expenditures have been growing successively and the closer we are to launches or big events the more intensely we work. And as we close to our launch expenditures grow you could see this before GWENT launch last year located -- related to location. So it's grouped in a short period of several quarters and its high -- the expenditures are high, because each game is big. We translated into several language so you can see this it’s reflected in expenditures.
Adam Kiciński: The answer to the second question is and sort of bypassing that developers work for us they play almost any game and we analyze other games as well. But to tell you the truth, I know of no such details. That's the truth. Cyberpunk is quite advanced, plus it is in our D&A. It’s not our first response to draw on other productions, of course, inspiration is important. But I don't know what is the case here. So well cyberpunk is really very much advanced. So it might be too late.
Kacper Koproń: Albert Rockiski, Arong Perum [ph]. Well, my colleague actually asked the question about multiplayer, because I wanted to ask you have you perceived what big games did with Fortnight is it a threat to you as producer of an AAA games or maybe in the future you will like this format?
Adam Kiciński: Well, it’s not that we don’t like Free-to-Play, GWENT is in this format, each format has its own users, into business model has its users, free-to-play have been doing really well. Some games match this model as well. Our single player games do not match this model. We believe that our offer for players is and will be attractive. What we have to offer is very concrete entertainment and we are not competing directly with such games. Well, they say Fortnight has extended the number of players and that’s probably true in this context it's good news for us. But like I said it's a very different kind of entertainment we offer something different.
Unidentified Analyst: Is it possible for a Cyberpunk to be cross generation, will it be available on new generation consoles?
Adam Kiciński: Yes. Absolutely. We already have such a plan, we already said publicly that our technology was developed thinking about new generation. Well, the generational hasn’t been announced yet, but Red Engine has been developed from scratch to make sure that it can be developed from generation to generation. As a result, if there is an opportunity for us to issue -- launch Cyberpunk for another generation we would want to do this probably.
Unidentified Analyst: And another question, we've heard that as regards new generation the price will be increased for AAA from PLN60 to PLN80 even. Do you know anything about this?
Adam Kiciński: No. We don’t know anything about that.
Unidentified Analyst: I wanted to ask you another question about this new upcoming project. You said that team is an order of magnitude smaller than this Cyberpunk team, for how long have they been working on this project?
Adam Kiciński: Well, it depends on how you define it, conceptual, well, no, I don't really want to get into details. Well, this stage to which the spending is substantial. Well, the spending is not substantial yet as compared to Cyberpunk. Please do not draw on proven conclusions. It doesn't have to be a game comparable to the Cyberpunk or which are free, the cost doesn't have to be comparable. Yes, but let’s say that the employment level is 90 to 10, then what’s the spending. We are not planning team size to much cyberpunk our concept is different even though the quality is going to remain stellar there is no doubt to that.
Unidentified Analyst: All right. Thank you.
Unidentified Analyst: [Inaudible] what are your marketing plans for the U.S. market are you going to go higher than for which are free?
Adam Kiciński: You’re talking about Cyberpunk. Yes, indeed we plan a larger campaign for cyberpunk both for the U.S. and all other territories this game is going to be released in. On all accounts this is to be the largest title ever for us also in terms of marketing budgets.
Unidentified Analyst: And another question what are your plans for further development of your California Studio branch and are they going to hold development business?
Adam Kiciński: No. It’s strictly business subsidiary there. We don’t develop games there. We have game development in Vancouver too. They are working together with a lot of team, where California only has business, marketing support and GOG support to an extent.
Unidentified Analyst: [Inaudible] I wanted to ask about GWENT. And the first update starting this year, with these updates have you seen a significant KPI increases?
Adam Kiciński: Well, we have never publicized the detailed KPIs. But, yes, we do see increased sentiment and response to GWENT.
Unidentified Analyst: For some time you have been taking preorders for stock cards, the package cost some PLN150. Could you please tell us more about the interest levels you're receiving for these preorders? Are you going to launch these preorder campaigns more times a year?
Piotr Nielubowicz: Well, we are getting really nice interest levels. We are very happy with that. We have some targets set forth before that launch. These are hard to measure though, because the launch has not yet happened. Some people might decide to purchase these packages after the launch, but for the first few weeks the figures have been matching our expectations. Are we going to do that more often? Yes, that's the plan to release these packages several times a year, because it's a really good promotion and today actually is the very last day for you to purchase this promotional text to go with the tomorrow's release.
Unidentified Analyst: And the last question as to e-sports and GWENT. Before you said, you used to say it's too low a scale, but recently you held GWENT Open and there's this GWENT Masters event planned to be a culmination for all those last year tournament. What's the date?
Adam Kiciński: We have not announced any specific dates yet. The last tournament has just finished and we must be aware that what we've been doing for e-sports, GWENT tournaments serves more as a community building exercise, promoting playing GWENT as such. And that's the concept we want to follow in the future too, just like described in the various stages leading up to the final.
Unidentified Analyst: And as to the cash sitting in your account, I understand you want to finance Cyberpunk marketing activities with your own resources?
Piotr Nielubowicz: Well, much of that marketing is going to be pre-financed by final distributors and then discounted from our royalties, quite similarly to what was in place for Witcher 3 even though the market is in a different place as the digital distribution share is going to be much higher even then in Witcher 1 and brick and mortar distributors have no profits on games sold by digital distributions, which is why they limit their marketing budgets as they don't want to finance our sales through online channels, which is only to be expected. But they will continue to contribute visibly. When talking about pre-financing of campaigns, because later on it will be discounted one-to-one from our royalties. But we don't have to spend the money outright.
Unidentified Analyst: I wanted to ask both new distribution channels and their impact on your business. Here I mean the streaming platforms for instance that have been announced recently by Google, let's say. Wouldn't a subscription service be a burden on your margins?
Piotr Nielubowicz: Well, actually any distribution channel extending our ways of approaching gamers is a good thing to us. We create content. So, any method that helps our content, our demanding content reach the players and each idea that helps us reach more and more players with these games is very good. Well, we don't know much yet about the subscription model though. It's difficult to comment on it. But we are optimistic when talking about those recent announcements, because for us it's an opportunity to further grow our customer base. We are talking with Google, obviously, we are. But it's too early to be discussing specific business models.
Unidentified Analyst: And another question related to GOG. It seems the GOG results on the operating results level are mediocre to poor, because the year was finalized with a loss for them. Why is that? Do you see impact of these markets trends like shrinking distribution fees? Is this a reason for this poor GOG performance?
Adam Kiciński: No. When talking about last year's results, the market changes didn't yet have a chance to translate into GOG operations. But the GOG was mainly affected in the first half of the year that was the negative currency exchange rates and then participation GWENT that remained on the homecoming stage for most part of the year, that's limiting the revenue component of this project. And another factor we are not discussing all that strongly, but last year actually GOG put in a lot of energy working on new technologies. Technologies to support the webstore and so these are attributable to development affords but this also engages GOG staff, also inflating the general management and administrative costs for this team, while we have not yet seen positive results from that I hope we will be able to do that and to publicize that soon.
Unidentified Analyst: [Inaudible] I have two questions. The first is related to GWENT. Are you even considering in your game as a service model to include a monthly subscription model when the mobile version is launched already?
Adam Kiciński: These models are out there already. We don't have much data about how they function. But apart from purchasing these cags, they are monthly subscription offers out there with paying ex sum which sounds horrendous, recalculated into Polish zlotish and local purchasing power, but it's like $40 a month.
Unidentified Analyst: So are you also considering this premium option for your users?
Adam Kiciński: Then it seems not as per to other players, because the game is paying quite a lot each month get preferential conditions. As a principal, we are really focused on our business models and our offer for the players to be fair, because it's an absolute foundation of our philosophy and strategy. We are considering multiple options though. The ultimate content of our games and the business models implemented is just a piece of what we're considering. It's a non-answer of thought that we are considering everything and anything, because only some of these considerations lead to further commercialization, but I'm not going to be able to tell you more as for now.
Konrad Krasuski: Konrad Krasuski, Bloomberg News. I have one question. I take it that we are close to Cyberpunk launch. We will not say exactly when it's going to happen. We're waiting for the day. But this will be implied that part of the team of Cyberpunk will be released. Well, there are going to be updates. So will they be working on a new AAA game how fast will it happen will it accelerate the project and during the last conference the CEO said that you are unsatisfied with the quality of Cyberpunk product, what about now percentagewise?
Adam Kiciński: We are not thoroughly satisfied yet because the game has been inquiring top quality or acquires top quality and their very end so not there yet. But in terms of our idea and an effective transfer of theme after Cyberpunk has been finished. Well, we have set an idea but it’s not related to a single-game only. I can’t about this right now, because I would have to tell you about all the ideas that we have after Cyberpunk some of them are in the pipeline more or less. But are we attach a lot of attention to making sure that after cyberpunk is finished – finish transfer to new projects should be natural. And well people should be able to work effectively. It’s important from the company's point of view, but it's also important for them not to wait too long before they start working creativity. We have an idea behind it. We are working on it and thinking about it a lot. The plan is there.
Unidentified Analyst: [Inaudible] one more time. I have one more question, Mobile GWENT that you announced, is it what you announced was setting up Spokko and they have an idea for a project, is this the idea?
Adam Kiciński: No.
Adam Kiciński: Are there any other questions? In the back. No, no questions after all. Thank you so much ladies and gentlemen. After the first quarter you are invited to teleconference and then E3 on the 11th of June in LA. Thank you so much.